Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Fourth Quarter and Year-end 2014 Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct the question-and-answer session. [Operator Instructions] As a reminder, the call is being recorded Wednesday February 25, 2015. And I’d now like to turn the call over to Don Walker, Chief Executive Officer. Please proceed.
Don Walker: Thank you. Hello everybody and welcome to our fourth quarter and year-end 2014 conference call. Joining me today is Vince Galifi, Chief Financial Officer and Louis Tonelli, Vice President of Investor Relations. Yesterday our Board of Directors met and approved our financial results for the fourth quarter and the year ended December 31, 2014. We issued a press release this morning for the quarter. And you can find the press release, today's conference call webcast, our updated quarterly financial review and the slide presentation to go along with the call all in the Investor Relations section of our Web site at www.magna.com. Before we get started just a reminder the discussion today may contain forward-looking information or forward-looking statements within the meaning of applicable securities legislation. Such statements involve certain risks, assumptions and uncertainties which may cause the Company's actual or future results and performance to be materially different from those expressed or implied in these statements. Please refer to today's press release for a complete description of our Safe Harbor disclaimer. Q4 was another very strong quarter for Magna, our best quarter of 2014 in terms of adjusted earnings and a strong finish to a record year. In North America, our operations continue to perform well overall, adjusted EBIT percentage was 10.6% for Q4 and for the full-year we posted 10.1%. In Europe, we made further strides in improving our footprint and operating results. We reported adjusted EBIT of $99 million in Q4, and for the full-year of 2014 adjusted EBIT in Europe increased for the third consecutive year to $434 million. This represents an adjusted EBIT of 3% for 2014. In Asia, we continue to invest in our business to support future growth. Despite this investment, we reported improved adjusted EBIT of $52 million U.S for the fourth quarter and for 2014 we reached $162 million, an increase of 91% over 2013 to a margin of 8.2% for the year. Lastly, in rest of the world, which is essentially South America, through a combination of productivity and efficiency improvements together with some restructuring and downsizing, we reduced losses by more than half during 2014 to $35 million loss, including only a $5 million loss in the fourth quarter. All in all, a very strong 2014 for Magna. Looking forward, the recent strengthening of the U.S dollar is expected to continue to impact our reported results. However, we are very excited about the significant amount of new business we’re launching over the next three years, new programs and new facilities around the world. This new business should contribute meaningfully to consolidated sales and earnings in the future. Lastly, on Monday of this week we signed an agreement to sell our battery pack business to Samsung. This transaction reflects further fine-tuning of our product portfolio to focus on businesses where we’ve strong or growing market positions. With that, I’ll pass the call over to Vince.
Vince Galifi: Thanks, Don, and good morning, everyone. I’d like to review our financial results for the fourth quarter and year ended December 31, 2014. Please note all figures discussed today are in U.S. dollars. The slide package accompanying our call today includes a reconciliation of certain key financial statement lines between reported results and results excluding unusual items. In the fourth quarter of 2014, we recorded restructuring charges entirely related to our European exteriors and interiors businesses and an impairment charge related to fixed assets at an interiors operation in the United States. Together, these reduced operating income by $24 million, net income attributable to Magna by $17 million and EPS by $0.08. In the fourth quarter of 2013, we recorded restructuring charges entirely related to our European exteriors and interiors business, impairment charges, a release of income tax valuation allowances and a deferred tax benefit associated with the elimination of the Mexican flat tax. These together reduced pre-tax by $90 million, net income attributable to Magna by $11 million and EPS by $0.05 in the fourth quarter of 2013. The following quarterly earnings discussion excludes the impact of unusual items. In the fourth quarter, our consolidated sales increased 2% relative to the fourth quarter of 2013 to $9.4 billion. North American production sales increased 8% in the fourth quarter to $4.7 billion, largely reflecting a 5% increase in vehicle production to 4.2 million units and the launch of new programs. These factors were partially offset by the weakening of the Canadian dollar against the U.S. dollar, lower production volumes of certain programs, net divestitures and net customer price concessions. European production sales declined 8% from the comparable quarter, while European vehicle production increased 3% to 5.1 million units. The decrease is a result of the weakening of the euro and Russian ruble against the U.S dollar, lower production volumes in certain existing programs, a decline in content on certain programs, in particular the Mercedes-Benz C-Class, programs that ended production during or subsequent to Q4 2013, and net customer price concessions. These factors were partially offset by the launch of new programs. Asian production sales increased 13% or $52 million to $451 million over the comparable quarter primarily as a result of higher production volumes in certain existing programs and the launch of new programs primarily in China. These were partially offset by the weakening of the RMB against the U.S dollar and net customer price concessions. Rest of world production sales declined 10% or about $19 million to $169 million for the fourth quarter, primarily as a result of the weakening of the Brazilian real and Argentine peso against the U.S. dollar. Programs that end up production, lower production volume to certain existing programs and decreased content of certain programs including the Mercedes-Benz C-Class. These factors were partially offset by the launch of new programs and net customer price increases. Complete vehicle assembly volumes declined 10% from the comparable quarter and assembly sales declined 9% to $721 million. The negative impact of the weakening euro against the U.S dollar and lower assembly volumes for the MINI Paceman and Peugeot RCZ, were partially offset by an increase in assembly volumes on the Mercedes-Benz G-Class. In summary, consolidated sales, excluding tooling, engineering and other sales, increased approximately 1% or $77 million in the fourth quarter. The increase reflects higher production sales in North America and Asia, partially offset by lower production sales in our Europe and Rest of World segments and lower complete vehicle assembly sales. Tooling, engineering and other sales increased 17% or $145 million from the comparable quarter to $986 million. Gross margins in the quarter increased to 14.1% compared to 13.9% in the fourth quarter of 2013. The increase in gross margin percentage was primarily due to margins earned on higher production sales, incremental margin earned on new programs that launched during or subsequent to the fourth quarter of 2013, productivity and efficiency improvements at certain facility, a decline in complete vehicle assembly sales which have a higher material content than our consolidated average and lower warranty costs. These items were partially offset by higher cost incurred in preparation for upcoming launches, higher pre-operating costs from certain new facilities, a larger amount of employee profit sharing, higher commodity costs, higher tooling, engineering and other sales that have low or no margins, and operational inefficiencies and other costs of certain facilities. Magna’s consolidated SG&A as a percentage of sales was 4.7% in the fourth quarter of 2014, in line with Q4 2013. SG&A increased $14 million to $442 million in the fourth quarter of 2014 as a result of higher incentive compensation and higher new facility costs, partially offset by the weakening of currencies against the U.S dollar. Our operating margin percentage was 7.5% in the fourth quarter of 2014, compared to 7% in the fourth quarter of 2013, excluding E-Car amortization from last year. This increase substantially relates to the higher gross margin and lower depreciation percentages as well as higher equity income, partially offset by higher interest expense. In Q4 2014, our effective tax rate was 25%, compared to 22.5% in the fourth quarter of 2013. The increase was mainly the result of lower favorable audit settlements in Q4 2014 as compared to Q4 2013, an increase in permanent items and a change in the mix of earnings. These were partially offset by a reduction in losses not benefited. Net income attributable to Magna increased $57 million to $526 million for the fourth quarter of 2014, compared to $469 million in the comparable quarter. Diluted EPS increased 21% to $2.52, compared to $2.08 in the fourth quarter of 2013. Diluted earnings per share were negatively impacted by $0.14 in the fourth quarter of 2013 as a result of the amortization of E-Car intangibles. The increase in diluted earnings per share was a result of an increase in net income attributable to Magna and a decrease in the weighted average number of diluted shares outstanding during the quarter. The decrease in the weighted average number of diluted shares outstanding was primarily due to the repurchase and cancellation of common shares pursuant to our normal course issuer bids, partially offset by an increase in the number of diluted options outstanding as a result of an increase in the trading price of our stock and the issue of common shares related to the exercise of stock options. I’ll now review our cash flows and investment activities. During the fourth quarter of 2014, we generated $881 million in cash from operations prior to changes in non-cash operating assets and liabilities and an additional $118 million in non-cash operating assets and liabilities. For the quarter investment activities amounted to $716 million, comprised of $670 million in fixed assets, $23 million to purchase subsidiaries, and a $23 million increase in investments and other assets. For the full-year 2014, we invested a record $1.6 billion in fixed assets to support the significant amount of new business we’re launching over the next few years. Our balance sheet remains strong with $225 million in cash, net of debt as of December 31, 2014. We also have an additional $2.3 billion in unused credit available to us. Yesterday our Board of Directors approved a two-for-one stock split and an increase in our quarterly dividend with respect to our common shares. Our quarterly dividend of $0.44 per share, which is $0.22 per share on a split adjusted basis, is a new record and represents an increase of 16% over the Q3 dividend. The dividend is payable on March 27 to shareholders of record on March 13, 2015. The stock split will be effective on March 25, 2015. Lastly, we disclosed early last year that our Board and Management are committed to utilizing our balance sheet. To this end, during 2014, we invested $1.8 billion in fixed assets acquisitions, investments, and other assets. We paid $316 million in dividends and as I mentioned earlier, we once again increased our dividend rate in respect of our fourth quarter to new record level. And we repurchased 17.5 million shares returning an additional $1.8 billion to shareholders. There are approximately 17.6 million shares or 35.2 million shares after giving effect to the stock split available to repurchase under our current normal course issuer bid that expires in November of this year. We will continue to invest in our business and return capital to shareholders in order to reach our adjusted debt to adjusted EBITDA target range of 1 to 1.5 times together with a reduction in our cash balances. Now, let me pass the call over to Louis.
Louis Tonelli: Thanks, Vince. Hello, everyone. I’ll review our updated 2015 full-year outlook. I'll only provide a summary of our outlook since we covered the details of our revised outlook in our press release. With respect to our vehicle production expectations, we now expect 2015 North American light vehicle production to be approximately 17.4 million units, up from about 17.3 million units in our January outlook. In Europe, we now expect 2015 total European light vehicle production to be approximately 20.4 million units, up from about 20.3 million units in our January outlook. Due to the continued strengthening of the U.S dollar since the beginning of 2015, we’re also now assuming a lower Canadian dollar and a lower euro relative to our January outlook. We’ve lowered our North American production sales range, largely driven by the negative impact of the assumed lower Canadian dollar, partially offset by the higher North American vehicle production assumptions. We’ve lowered our European production sales range largely due to the assumed weaker euro, partially offset by the impact of higher assumed light vehicle production. We’ve slightly lowered our production sales range in Asia, reflecting the assumed weaker RMB relative to the U.S dollar. The net result of these factors is a lowering of our consolidated production sales range to $28.2 billion to $29.5 billion. Our expected assembly sales also declined reflecting the lower euro assumption. Implicit in our total sales outlook is a slight decline in our expected tooling, engineering and other sales compared to our previous outlook. This is also related to assumed weaker currencies relative to the U.S dollar. Our total sales range is now $33.1 billion to $34.8 billion, down $1.3 billion at the top and bottom of the range from our previous outlook. We now expect our consolidated operating margin percentage for 2015 to be in the low to mid 7% range for 2015 compared to the low 7% range in our previous outlook. Note that our operating income for Magna represents pre-tax income before unusual items. The higher margin range largely reflects slightly improved expectations and certain of our operations and an impact of currency movements, in particular the weakening of the euro which result in a smaller proportion of lower margin European business relative to our consolidated forecast. We expect our income tax rate to be in the 25% to 26% range, unchanged from our January outlook. So all in all, lower sales outlook, improved margin outlook, and no significant impact on bottom line as a result of these changes. For the full-year 2015, we expect fixed asset spending to be in the $1.4 billion to $1.6 billion range. This is a decline from the $1.5 billion to $1.7 billion range in our January outlook due entirely with the currency movements. Lastly, we expect restructuring costs for 2015 which entirely related to our European operations to be approximately $40 million before tax. This concludes our formal remarks. Thanks for your attention today. And we’d be pleased to answer your questions.
Operator: Thank you. [Operator Instructions] And our first question is from the line of Dan Galves from Credit Suisse. Please proceed.
Dan Galves: Hey, good morning. Thanks for taking my question. So just I think you basically said it, but it seems like the currency impact to the revenue guidance was significantly more than the kind of net impact. You guys, I guess, what cause you to raise the production expectations for North America and Europe and is it fair to say that there is really kind of no impact to the bottom line from the change to the revenue guidance?
Vince Galifi: Hey Dan, it’s Vince. We looked at most recent forecast for production compared to our January outlook, we tweak them up a little bit, there are some mix changes, but it’s not a big significant change in overall vehicle production in both markets. The biggest impact to our income statement or outlook for 2015 raises two things. One is foreign exchange. If I look at the U.S/Canadian exchange between our -- some of our January outlook and where we’re today, there has been a further decline of about 8% in the Canadian dollar. Again, if I look at the euro, the decline has been about 8% as well. So that had a downward impact on U.S dollar reported sales. It got a little bit of a benefit from sort of increased production. But I think that the good news is when we look at overall margins, we’re a little bit more confident that we’re going to be able to achieve higher operating margins in a number of market, North America and Europe, in particular. So when you kind of do all the math, they were lower sales, higher margin, different mix between Europe and North American sales based on overall consolidated sales. Bottom line results is kind of January outlook, bottom line or our February outlook bottom line are about the same.
Dan Galves: Okay, got it. And then, on the Europe margin, running around three, I think your guidance for this year is low 3% range. What are the significant things that need to happen for you to get into that four in a quarter, four in three quarter guidance range for 2016? And if you could give us any detail of how much of a drag this U.K. interiors facility is in terms of launch costs right now?
Vince Galifi: Hey, Dan. What’s going to move this up is a number of things. One is, we’ve embarked on kind of a restructuring and consolidation plan in Europe and that’s primarily based on exteriors and interiors group, and we’ve taken some impairment charges and restructuring costs in 2013. We took some more in ’14, that all related to our exteriors and interiors operations. Based on kind of outlook today we got about another $40 million of charges to take in ’15. But remember, even from an accounting perspective, even though we’re recognizing these costs as an expense, those actions that lead to improvements in operations come a little later. So as we work through the passage of time, we will see the benefits of the restructuring and we see some of that benefit already for sure in ’14. We also have some business that continues to roll off, some underperforming contract. And our continued focus on world class manufacturing efforts to improve operating efficiencies, we’re seeing having an impact on overall margins. And a new business rolls in at more appropriate pricing; that has a positive impact on margins. So when you kind of sum all that up, we’re on track. I think when you look at ’14 and where we ended up, probably little bit behind because what was going on in the U.K. We incurred losses in the U.K. in 2014. We are going to continue to incur losses in 2015, just more business is ramping up in that facility, but we’re encouraged with the trend we’re seeing from an operating performance and the losses are being reduced in ’15 versus ’14.
Don Walker: It’s Don here. So to hit then the numbers we had projected a couple of years ago, it’s really just continue to execute on the plan. So the -- we still have a lot of launches in the U.K. plant. They’re in much better shape than they were last year, but we still need to launch all the business and for the most part our losing divisions are about exactly where we want them to be. So we’re making good headway there.
Dan Galves: Thanks, guys. I appreciate the color.
Operator: Our next question is from the line of Peter Sklar from BMO Capital Markets. Please proceed.
Peter Sklar: Thanks very much. Don, you spoke in previous quarters that there were some North American plants that had significant launch issues. I think you’ve talked a little bit about it through the quarters of 2014. Can you give us an update, specifically on how those plants are doing? I think you expected the -- that the drag from those plants to start to get -- start to come down in early 2015 quarters. I’m wondering if you saw the benefit of that in the fourth quarter.
Don Walker: Yes, we had three interiors plants. We had some significant issues last year. One down in Mexico, we’re through the problem, so it’s back to slight profitability. We had another one which has got some launches to finish this year, but we’re on a pretty good shape there as well, we have -- we saw some losses, but that will be I think by the end of the second quarter, we’re in pretty good shape there back into profitability. We still have one plant that we’re seeing some fairly significant losses, it’s not out of control operationally. We have some launch and we have some cost issues as well that will continued to be a drag through this year, but they’re not material. So we’re in pretty good shape in all three of them.
Vince Galifi: Peter, of those three plants, one of those plants resulted in an impairment of fixed assets that we booked in Q4, $18 million which we felt that as an unusual item.
Peter Sklar: Right. I assume that was the case. The other question I had, on the sale of the battery pack business, I’m just a little confused, what is left now of the original E-Car business? I remember that the original E-Car business I think had three components to it. There was the powertrain, the battery pack and there were some other businesses you were involved with. Can you talk about what’s left and what aspects of E-Car you will be pursuing?
Don Walker: It’s just a reminder for everybody else, we bought the 27% share that the Stronach Group owned, I guess a couple of years ago now. And the value of the whole company that point in time was about $280 million. We had -- that was a very small R&D facility for cells, which we rolled into a joint venture, so we own a very small percentage of equity, but it was a -- it was losing money and we -- I don’t want to keep on funding it, because we don’t really want to be strategically in cell business, there are some major players there. The reason we bought it, the biggest reason we bought it was for the technology, electronics and the powertrain. And that is -- was by far in a way the most interesting part and continues to be the most interesting part for us and that is now integrated into the electronics business of our powertrain group. We also had a battery pack business, which basically takes the cells, the other people would make and puts it in a pack or which has to be heated, cooled, managed. We still have maintained the ability to integrate cell into a vehicle in Magna Steyr, but we had a relatively smaller group that was actually designing and building packs. The reason we decided to get out of it was we do not intend to get into making our own cells and a lot of the big cell suppliers LG, Panasonic, Samsung, they’re all moving into having the capability of putting packs on to their cells. And some of our customers have decided they’re going to do their own packs, and see that as being core. So long-term I think we’d have been squeezed. We were investing this business, it was still loosing a little bit of money. And it really wasn’t core for us and as we look at our product strategy, we just determined it was a good time to sell it.
Peter Sklar: Okay. And then, the last question I had is in the presentation, you highlighted in your comments that Magna has won a significant amount of new business launching over the next three years. I’m just wondering if you’re able to elaborate on where it is geographically and which business segments that you’re seeing these good wins?
Don Walker: It’s really across all of the business areas. As you know we track the businesses by our group. We have about -- the numbers we talked about, which is about $5 billion, 45% of that’s coming in North America, 35% Europe, and 20% in Asia approximately.
Peter Sklar: Okay. Thanks very much.
Operator: Our next question is from the line of John Murphy from Bank of America Merrill Lynch. Please proceed.
John Murphy: Good morning, guys.
Vince Galifi: Hi, John.
Don Walker: Hi, John.
John Murphy: Just a first question on North America and certainly there is great debate as to where the market ultimately will go this year, but by our numbers it looks like you’re being conservative by as much as 5% on volume. Just curious, if we do see that kind of upside in the market, where you’re and capital capacity utilization and whether you would be able to handle something like that or would that creates some deterioration and margin. Just trying to understand if you get some big incrementals if there is upside to North America?
Don Walker: It really depends where it’s going to be by what product area. Off the top of my head, I can’t give anything where if the market want to cross up 5% across the board or we’d have a capacity problem that might be a couple of plants, but generally the top 5% that’s very good news for us.
John Murphy: Okay. And then a just question, we’ve heard from a lot of the suppliers that the pullback in raw material costs might be a significant or fairly material offset to the headwinds of far action. Just curios what you’re seeing on that side?
Vince Galifi: Hey John, it’s Vince. I guess from a commodity cost standpoint, we’d have started the year with probably the view that commodity costs were going to be a headwind and our most current view at this time is commodity costs are probably a tailwind and should benefit us year-over-year. And that’s part of the change in operating margin is due to the change in commodity costs expectations for 2015.
John Murphy: Okay. And then just lastly on the buyback issue here. Obviously, its good news that you guys are been very aggressive in the market. Just curious, Vince, as we think about the pace of buybacks, I mean, is that something you look at sort of as smoothing out through the course of the year or could that be the kind of action that could be accelerated given where the stock price is right now?
Don Walker: Its always challenging to know when you sort of buyback the stock or what we’ve been doing is buying it fairly consistent across the years. So that’s kind of our current thinking on that. I guess we will have to assess where the stock takes a dramatic move one way or the other what we do, but the course of action at this point in time is to smooth it out over the course of the year.
John Murphy: Okay. And then actually just lastly on Magna Steyr. I mean, there has been some rumors that you have entertained some potential new customers at Magna Steyr. Is there any comment on that or is there any opening for new customers of Magna Steyr?
Don Walker: We never commented on any who we’re working with, but we have talked about the -- some of the programs ruling off in Magna Steyr. The production unit over in Graz, in Austria. We got to replace some businesses as far as announcing any more work we’ve won; we will wait until customer talks about it before we say anything.
John Murphy: Okay, great. Thank you very much.
Don Walker: John.
Operator: Our next question is from the line of Ryan Brinkman from J.P. Morgan. Please proceed.
Ryan Brinkman: Hi. Thanks for taking my call. Congrats on the quarter. Can you talk a little bit about your manufacturing footprint within North America? Do you manufacture your products disproportionately in Canada at all relative to where the vehicles are produced? I know the strength in the U.S. dollar generally hurts you, for example the translation from the euro and you talked about that. But I’m just curious if you see any transaction benefit from shipping from Canada to U.S. with the change in the currency or for that matter from Mexico to the U.S. anything we need to think about there relative to North America margin and her models?
Don Walker: I can't remember the sales off the top of my head, but we have -- if you look at the number of employees, we have just under 20,000 employees in Canada. We’ve got just over 20,000 in the States, and we’ve got a few more in maximum [ph] than we do in the States. So we are over weighted in Canada compared to where production is for sure. So, in the short-term it does have a negative impact as we translate sales and profitability. The long-term with the Canadian dollar being down it should give us the ability to be more competitive and win more business in, out of Canada.
Vince Galifi: Ryan, just if you look at Canadian day sales are, well plus or minus $7 billion. And if you look at our guidance this morning we are kind of $17.5 billion to $18 billion for the year ’15. So there’s more than a third of our sales are in Canada. Where you can actually find that is if you go to our, in terms of quality of statements and you look at our segment now which is not 18, it will show that last year our total sales were $6.8 billion.
Ryan Brinkman: Okay. That helps. Thanks. And then, do you have any sense so far as to how gas prices -- lower gas prices are impacting SAAR or vehicle mix in North America, and how much that impacts Magna. I think just, historically allow that maybe disproportionately on full size trucks, I don’t know if that’s still the case. Can you kind of update us there?
Don Walker: Well some of the change that we made in our outlook reflects a bit of a mix shift between cars and trucks. So, we are up about a 100,000 units plus or minus. But there’s certainly a mix shift of programs like the K2XX are higher in our current forecast compared to our plan. So, sure there’s an impact based on what we’re seeing in releases and what we have in our forecast. I really can't comment on SAAR at this point, but certainly impacting some of how we’re looking at programs and mix.
Ryan Brinkman: Okay, great. Thanks. I appreciate the color.
Operator: Our next question is from the line of Itay Michaeli from Citigroup. Please proceed.
Justin Brown: Hi, guys. This is actually Justin Brown on behalf of Itay. How’s everything going?
Don Walker: Very good.
Justin Brown: So just a quick question with regards to the [indiscernible] environment, kind of maybe give us some color on what you’re seeing, and maybe the implied growth rate that you guys have for ’15 for that segment?
Don Walker: Sure. Can you repeat that gain, the first part of your question?
Justin Brown: Yes, so with regards to the active safety environment, kind of what you’re seeing through the quoting and like the annual growth rate for the business segment in general that Magna is kind of seeing right now for ’15 guidance?
Don Walker: Well, we don’t really Justin give specific guidance on a particular product are. But I will give you some color. The business has been growing. We continue to expect it to grow, and we continue to expect it to grow faster than our overall growth in production sales in North America. We have been investing to grow that business and we’re starting to see some -- the light at the end of the tunnel with growth and profitability, very good growth and some profitability.
Justin Brown: Perfect. That’s great. Thanks so much. And then any chance you can give us some color on the ’15 quarterly cadence, kind of what we should expect relative to ’14?
Don Walker: We don’t really talk about details on volume or margin or sales by quarter. We only give full year. So we can't really help you too much on -- generally you had your typical seasonality and that doesn’t change that much from what we’ve see in the past, but we don’t provide a lot of detail on quarter, so I can't help you there.
Justin Brown: Okay, perfect. And then just one last one, so you mentioned before that the upwards revision to the operating margin target is kind of a bunch of different features. You mentioned commodity cost. You also mentioned slightly improved expectations. Can you give us some color as to where you’re seeing the improvements like region wise, segment wise, and then kind of maybe give us the beneficial impact that you’re seeing as a result of this recent steel pricing?
Don Walker: Yes, in terms of kind of which segments, we’re seeing some improvements over our sort of previous outlook. We’re certainly seeing improvement in North America, as well as Europe, and those are the two biggest drivers, I mean Asia is still relatively small overall and rest of world pretty small. How much of that is commodity cost? It’s included in that number, but to the -- a big part of that is just improved outlook on operating performance in both regions.
Vince Galifi: And it wouldn’t be steel because most of those steel is locked up early in the year. So despite what's happening -- what maybe happening to spot prices, its not going to have much impact on us.
Justin Brown: Perfect. That’s great. Thank you guys so much.
Operator: Our next question is from the line of David Lim from Wells Fargo Securities. Please proceed.
David Lim: Hi, good morning everyone.
Don Walker: Good morning.
David Lim: So I wanted to look at John Murphy’s question in a different way. When we look at Magna Steyr, in theory of a new OEM entrant or what have you approached you guys, you guys have enough ample capacity to accommodate lets say incremental new business in the 5000 to 8000 unit range?
Don Walker: Yes, I’m not going to comment in any particular customer, and who is in the business. As far we have two businesses, one is engineering which we’re fairly full on engineering, but that’s very cyclical and is to try and manage the business so we’re always at full capacity. As far as manufacturing, I mean do you have open capacity in our plant in the garage which is the only place we have manufacturing footprint at this point in time. So, if we were able to win more business then we can fit it in, but there is a limit usually dictated by our paint shop. So we’re -- in the future we’re looking in pretty good shape there.
David Lim: Got you.
Vince Galifi: David, but just to give you some facts, last year volumes of Magna Steyr were about 135,000 units. If you think about the days when we were producing the X3 in Austria, our production was over 200,000 units. We did shut down one paint line, and what we have commented about in the past was that, adjusting capacity is kind of 160’ish to 170’ish range.
David Lim: Got you. Great, thanks for the color on that. That’s very helpful. And then, I know with the Canadian dollar you mentioned the world earlier, strengthening U.S. dollar gives us a better position to win. I just wanted to sort of understand from your Canadian plants, I mean what is like the drive time to an OEM plant that you guys are willing to bid on. Is it more like a two hour drive time by truck or can that be a little longer? Can you give us some additional color on that if you would?
Don Walker: It completely depends on what we’re shipping. We actually make parts in some of our Canadian plants where we are shipping to China. So, it depends on what's the cost? What's the labor content? How many parts you can get in a shipping container? So typically what our customers look at is, what's the total landed cost at their facility and that takes into account transportation. So we ship things from Mexico to Canada and the U.S. We ship things from Canada down to Mexico around the world. Typically if you look at large metal stampings or big welded assemblies or big painted fascias, you want to be within a reasonable shipping distance, but we even ship some very large parts long distances, if we have installed capacity that’s open. So it really depends.
David Lim: Got you. And then my final question, I wanted to touch upon active safety a little bit more. Can you sort of remind us what products you do in active safety, and obviously as that business grows, will you sort of separate that line item. And just curious, on active safety front is that more in your vision the Magna Donley business, or can you give us a little bit more color there please. Thank you.
Don Walker: Yes, our active safety business for us really is cameras, so we would call it driver assistance systems. Its cameras and the ability to detect things using camera technology or other technology which we may be buying. So as an overall part of our business it’s relatively small. It’s within our electronics business which is part of our Powertrain group. Our Mirrors group also has some technology, but most of it is in the electronics business in the Powertrain.
David Lim: Great. Thank you.
Don Walker: And just in terms of how we’re going to disclose that, obviously we report on segments, sort of North America, Europe, what we do once a year, we can't get the financials. We actually also show overall sales on a product basis, but our driver assistance business historically has been lumped with our vision and electronic system product area, so you won't be able to see that on its own.
David Lim: Got you. Thank you.
Operator: Our next question is from the line of Rod Lache from Deutsche Bank. Please proceed.
Pat Nolan: Good morning, everyone it’s actually Pat Nolan on for Rod.
Don Walker: Hi, there Pat.
Pat Nolan: Most of my near-term questions have been answered. So, Don I wanted to ask more of two longer term questions. The first is about; I know you guys continuously examine your product portfolio, what makes sense to keep, what makes sense to potentially sell. Could you give us an update on that process either in terms of do you see potential to still sell off some businesses that maybe you’re not the size you want to be, and are there buyers out there for that currently?
Don Walker: Yes, we started a fairly indebt process a couple of years ago with the board and we’ve been focused on a lot to 2014 as to where we think the growth will be by product area in future cars. So, if you look at -- we sell car in the future, and we have been selling off small businesses, we’re looking at things. So, there’s lots of opportunities out there now, but to make sure we buy some, it’s a good fit. It’s going to be at the right price. I think you can never tell if we’re going to buy or sell anything. But our intention would be to continue to fine tune our product offering with the most diversified from a product standpoint now and there’s no pro or a con to that quite frankly. However we can't be the best in technology in global footprint, and as good a growth opportunities in everything equally, so we do continue to look at that and we don’t comment on what we’re going to do specifically. But we’re continuing a lot of focus on it.
Pat Nolan: From a high level would you expect that, the pluses and minuses of selling off some businesses, taking in businesses to be kind of use of capital neutral or potentially a source of cash over the next couple of years?
Don Walker: Well we’d rather be growing the company than making it smaller. So, it depends on the timing obviously and we may have a business unit that we think would be better in a joint venture or potentially selling it or. But it depends on whether we think we can grow in a region; we can find a good partner or whether it’s better to divest the whole thing. So, my expectation would be we would be using cash a lot more than generating cash, but it depends on the timing.
Pat Nolan: That’s very helpful. And if I could just ask one more just going back to your expected revenue growth between 2015 and 2017, what you outlaid last month was about $5.1 billion of revenue growth. Could you maybe talk about which businesses you expect to accomplish the largest portions of that growth?
Don Walker: We don’t disclose it, but we’re typically seeing reasonably good growth in most of our product areas and if there is an area that doesn’t see good growth for whatever reasons, those are the ones we’ll look at whether we don’t have to [indiscernible] growing segment, we don’t have the right technology, we’re not competitive because of our footprint or whatever and if that’s the case then and we don’t think we can get it efficient enough that we’re going to be able to grow the business that’s something we look at potentially doing something with. But we’re seeing pretty good growth across most of our groups.
Vince Galifi: And just to be clear, that $5 billion is growth between the end of ’15 and ’17, so it’s over the two year period.
Pat Nolan: Thanks very much guys.
Operator: Our next question is from the line of David Tyerman from Canaccord Genuity. Please proceed.
David Tyerman: Yes, good morning. The first question is on the MINI. Could you let us know when the replacement is on those vehicles or when they leave?
Don Walker: Yes, the MINI Countryman and Paceman are slated to end their current production in 2016.
David Tyerman: 2016, okay. And how much of the Magna Steyr or the assembly sales would they account for a ballpark?
Don Walker: Well they are the biggest two programs in there for sure. I mean, we’ve got the RCZ is relatively a low volume program. The G-Class is kind of between 15% and 20%, and the rest is in MINI Countryman and Paceman.
David Tyerman: Okay. And this anticipation still is that there is something that’s going to come to replace the MINI’s, is that the idea?
Don Walker: Yes, we have business actually that’s coming on.
Vince Galifi: Yes, David its Vince, we’ve actually previously disclosed that we do have replacement business, and we have not been able to identify what that replacement business is.
David Tyerman: Okay, that’s helpful. Just on the Asian side, the margins were very strong in fact. I think they were above your target range in Q4. Was there anything unusual there or is there the possibility that the Asian margins could actually go above the target range you had?
Don Walker: You’re talking about the outer years for ’16. I mean, we are -- when you look at kind of ’14 we’re at 8.2%.
David Tyerman: Yes, I’m thinking Q4 events.
Don Walker: Yes, I mean you got to think that there is a lot of moving pieces. We don’t have a fixed sales base in Asia. So, if you have an accrual or you have inventory items, it could move the margins one way or another. I sort of sit back and look at where we are in ’14. Where we think we’re going to be in ’15, and in ’15 we’re kind of flattish. But still been able to grow by the time we get to ’16 to the three quarters, 9.75%. Subject to, and we’ll keep on saying this, if we are able to win substantial business and that means investments for new capacity or putting up some equipment that could delay that ramp up in margins. But that’s sort of a good new story, like growing sales faster.
David Tyerman: Right, okay. Sure, that’s fine. And then on rest of world is the intention still to improve loss roughly to cut it in half again this year, and what would drive it?
Don Walker: Currently it’s out plan, and there’s a lot of moving pieces down there as well but that’s -- we wanted to cut about in half from ’13 to ’14 which we did and we want to cut it in half again to from ’14 to ’15. So that’s our expectation.
David Tyerman: And Don is it mostly just more of what you were doing in ’14?
Don Walker: Basically the same thing; some operational improvement, some pricings, it really depends on where the commodity prices go up dramatically, its offsetting and deflation. So the operations are running relatively well down there and now a few improvements we can make. But it -- assuming things are relatively the same as they are now, then we hope to cut it in half.
David Tyerman: Okay, thank you. And then the last question, just on the, this due bill trading that you talked about in the release. Does this have any practical implication for or when the stock starts trading effectively on the slit basis?
Don Walker: Starts trading on a slit basis on the 26.
David Tyerman: Okay, so what does the due bill thing do?
Don Walker: David, we’re going to have to get back to you on that. My sort of -- my understanding is that, your existing share as far as not waiting it just converts into two for one, and if you hold the share at the time of dividends paid you get the $0.22 per share [technical difficulty].
Vince Galifi: I’ll follow-up. I’ll give you a call, David.
David Tyerman: Okay, that’s fine. Thank you.
Operator: Our next question is from the line of Richard Hilgert from Morningstar. Please proceed.
Richard Hilgert: Thanks and good morning everyone. Sorry.
Don Walker: Good morning, Richard.
Richard Hilgert: I wanted to ask a little bit about, the sensitivity in the industry on recalls. It seems like things have kind of dived down a little bit. We still see some recalls coming through. I don’t know if that’s due to the heightened sensitivity at this point or if it’s just a matter of the normal course of the business that we would see routine group recalls anyway. Wondering what has been Magna’s experience in this, and where do you think we’re standing right now on the sensitivity?
Don Walker: Well that’s a tough question. From our perspective it wouldn’t have any more insights than I think just anybody in general. Certainly I think all of the car companies have been taken a real close look at, if there’s a problem out there make sure it gets addressed. And I think some of these things from an engineering standpoint are very difficult to determine, but I know that they, most of the car companies have full time groups looking at this, and if there is a question I would suspect they had probably been more cautious than less cautious. I would think that a lot of the work has already been done. However there is, I don’t really know because I’m not within in the car company. But I would hope that we’re getting back to more normal levels of recall, and people are very focused on safety issues. So you would hope and it has been the trend over the past 10 years or so, that in the next 10 years people will continue to be really cautious and looking at different failure modes and through the program management just doing as an effective engineering to also, you would hope over a period of time that recalls will go down. But I think the wave -- hopefully the big wave with them has already been identified.
Vince Galifi: So Richard if you think of it, kind of yes, where do we stand in all of this? We look at warranty expense. If I look over the last kind of three years, we’re $47 million in ’14, and $40 million in ’13 and $43 million in 2012. So we’ve been sort of pretty consistent kind of the $40 million to $50 million all in mark for the last several years.
Richard Hilgert: Okay, great. Thanks guys. I appreciate it.
Operator: Our next question is from the line of Ravi Shanker from Morgan Stanley. Please proceed.
Ravi Shanker: Thanks. Good morning, everyone.
Don Walker: Hi, Ravi.
Ravi Shanker: Hey Vincent, if I were to just follow-up on something you said earlier on the MINI business. Do you expect the replacement when to completely offset the MINI volume loss?
Vince Galifi: More or less.
Ravi Shanker: Okay, thanks. It’s helpful. And also is there any updates to the Chrysler Windsor production you shutdown in terms of either a change of timing or in terms of any color around building up any inventory ahead of that, because I believe in your guidance you aren’t really accounting for any real inventory [indiscernible]?
Vince Galifi: Chrysler minivan?
Don Walker: Yes.
Ravi Shanker: Yes.
Vince Galifi: Yes, I mean Q4 was a pretty strong quarter for the minivan. But we haven’t really changed anything in 2015. Timing is the same. We’re shut down right now, and for the ’14 we certainly do have significantly down volumes this year versus last year.
Don Walker: Yes, Ravi, I mean the -- I mean our sort of back of the envelop calculation is the minivan shutdown $250 million to $300 million of sales in ’15, negative impact.
Ravi Shanker: Got it. And just finally, on the CVA discussion from earlier while we probably can't mention the A-word on the call. Can you just remind us what Magna Steyr’s capabilities are? If I were to just come to you and say, I want to make a Ravi Shanker branded automobile, can you just do everything for me? Or what is that Magna Steyr can do or not do?
Don Walker: Well from a manufacturing standpoint that we have a complete assembly plant over there which is the body shop, it’s the pain shop and general assembly which we do multiple vehicles in. And from an engineering standpoint, Magna as well as some other companies out there can engineer complete vehicles and well that’s your business model over there.
Ravi Shanker: And do you have design capabilities as well. I think for the Qoros [ph] car you guys did the design as well?
Don Walker: Typically I’m not going to comment about any car, but typically our customers will do the design. We can always do -- we can always work on design, but typically our customers do the design of the exterior, the interior, and once that’s defined then we’ll do the engineering portion of it.
Ravi Shanker: Got it. And just finally, has there been any though on expanding Magna Steyr’s production footprint into North America or Asia?
Don Walker: Over the past we’ve looked at it various times, just like a chicken and egg. You almost need to have several customers to get to credit the volume. So we have nothing that we’re certainly announcing at this point in time.
Ravi Shanker: Got it. Thank you.
Operator: Our next question is from the line of Brett Hoselton from KeyBanc. Please proceed.
Brett Hoselton: Good morning, gentlemen.
Vince Galifi: Good morning.
Don Walker: Hi, Brett.
Brett Hoselton: First on complete vehicle assembly sales, I think what obviously everybody is grabbling with here is how do we think about complete vehicle assembly sales in ’16 and ’17? This year you are kind of down that low to mid 2 billion range. In 2014, obviously you're much higher than that. What are your thoughts -- how would you if you were us [ph], how would you model complete vehicle assembly sales beyond 2015 into 2016 and ’17, would you model them down from 2015 levels, would you model them up, would you model them significantly up? What are your thoughts there?
Don Walker: In ’16 I had only be modeling up, because if you think about we don't have a new programs coming in ’16 and you’ve a natural lifecycle of vehicles, that’s going to be driven by the customer if they want to load on incentives or whatever that kind have an impact on their sales and our production. But typically just as we're seeing this year, the vehicles are a year older and so you have some decline in the program. So in ’16, I don’t think I would be modeling up versus ’15. ’17 we really can’t comment on. We haven’t given any guidance on ’17 volume. So hopefully as we get closer, we’re going to be able to disclose something related to the programs and the cadence in -- at Magna Steyr, but at this point we really can’t say anything about ’17.
Brett Hoselton: You have -- can you kind of give us any sense of your confidence level of gaining some follow-on business in those out years?
Don Walker: Well, we're confident that we are -- well we know we are going to have business in there beyond that current programs. And the G-Class -- the Peugeot ends this year, the G-Class runs until -- into the -- into like 2020 plus. So we’re not worried about the G-Class and we do have business with BMW that comes in after the MINI. So that’s high degree of confidence, because we won, its been awarded right.
Vince Galifi: And we’ve got, I guess, you are asking just on the business model of our Steyr operation? It’s been a lot of work in the past couple of years on improving our efficiency over there, driving our cost down. So I’m pretty optimistic about the future of our business unit in our assembly business in Graz.
Brett Hoselton: And you don’t necessarily see anything from a customer standpoint that causes -- cause you to believe that they would kind of pullback from that business model?
Don Walker: No. This debate was on for a long period of time. I think long-term, if we’re competitive and we’ve done a lot for our competitive, then low volume vehicles make a lot of sense for we call it peak shaving out of the vehicle assemblers. So unless there is a huge downturn, that they expect to have over a longer period of time and typically the -- our customers we are looking at what they want to source internally, externally over a 5 to 7 to 10 year period. So short-term impacts really don't impact that, because if we were going to do all the tooling and put some in there, then typically we have some guarantees on with where the volumes going to go. So we have a -- we can’t -- we’re not going to talk about what we’re doing ’16, ’17 in any detail, but we have a lot of visibility out into -- typically out to ’19, ’20, ’21, in the business unit.
Brett Hoselton: Okay.
Vince Galifi: I mean, some of the sales decline is volumes on the MINI programs, but a lot of its currency. So just remember that, we are looking at the overall decline in sales ’15 versus ’14.
Brett Hoselton: And then capital deployment, as we think about capital deployment beyond 2015, obviously you generated a lot of free cash flow after CapEx and so forth. Should we generally anticipate that you’re just going to look to maintain that 1 to 1.5 debt to EBITDA range and then deploy the excess capital in the form of dividends, share repurchases and then an occasional M&A opportunity?
Vince Galifi: Yes, correct. Its sort of the 1 to 1.5 sort of range is something that we feel comfortable operating in, subject to sort of macroeconomic conditions, as you’ve got extremes. And I think from an ordering perspective, it sort of change the order of how you set things. I’d say that we’re committed to obviously paying a dividend and growing that over time as profits grow. Our main focus is to grow the business. If we can do that in a very profitable value creating way and to the extent that we have done all that and we are still not in that sort of comfort zone, then we use cash to buyback stock.
Brett Hoselton: Okay, great. Gentlemen, thank you very much.
Vince Galifi: Thanks, Brett.
Operator: [Operator Instructions] Our next question is from the line of Todd Coupland of CIBC World Markets. Please proceed.
Todd Coupland: Yes, good morning, everyone. I wanted to ask about tooling. It was up dramatically sequentially and very, very strong absolutely. I'm wondering what that hints to in the upcoming quarters?
Vince Galifi: Tooling, Todd its sort of -- it moves around quite a bit quarter-to-quarter. If you go back over the last kind of three years, tooling in Q4 has been higher -- the highest quarter in each quarter and I think it’s just the timing of recognition of revenue. I think what you should take out of this is that, we have talked a bit pretty substantial sales growth in the coming years. And tooling [indiscernible] and it’s been impacted negatively by currency to support …
Todd Coupland: [Indiscernible] as you go. Sorry about that Vince. Okay that's helpful. And just one quick follow-up, if I could, lots of questions around what might or might not happen at Steyr. My question relates to Steyr and/or E-Car capability. Is your electric powertrain commercially available to be designed in at this point in time?
Don Walker: Electric powertrain typically is made up of all sorts of different components. So it's a motor, it’s an inverter, it can be a rear axle driving [ph], it’s a lot of different things. So it’s not like you have one unit, that you say you’re going to throw in to a vehicle and that’s your electric drive system. And we have lots of those pieces and there is other suppliers that have lots of those pieces, so certainly from a capability of designing and making the components for electric vehicle we have a lot of capability.
Todd Coupland: Okay. And that’s ready for customers that want to move to commercial levels rather than the R&D phase that it might have been in with an E-Car when you bought it?
Don Walker: Yes, absolutely yes. And then there is a lot of -- I mean, there are very low volumes right now in pure electric vehicles and hybrids, but there is a lot of component tree and systems out there today, so the capability certainly exists.
Todd Coupland: Thanks a lot guys.
Operator: And our next question is from the line of David Lin from Wells Fargo. Please proceed.
David Lin: Hi. Just a quick follow-up, on that $5 billion from ’15 to ’17, what's the FX assumption that is underpinning that? Thank you.
Vince Galifi: So we give that at the beginning of the year, so that the rate that we had back then was $0.87 Canadian and €1.25 for the euro. But that’s a change in sales, so if the rates move around, it’s going to be more or less flat.
David Lin: Got you. Okay, great. Thank you.
Operator: There are no further questions from the phone lines. End of Q&A
Don Walker: Great. Well, thanks everybody for joining us today. Q4 was a good quarter and a very strong ending to the year for us. And despite the impacts of currency, we’re very optimistic about 2015 and beyond. So we have lots of good things going at Magna, and I appreciate you calling in. Enjoy the rest of your day.